Matthijs Storm: Good morning, ladies and gentlemen. Welcome to the Wereldhave First Half 2025 Results Webcast. I'm here today together with our CFO, Dennis de Vreede. We're glad to report the results to you today. I'll take you through some as usual, and you can ask your questions towards the end of the presentation. However, the check box at the bottom of the screen is already available. Please type in all the questions that you have. And as usual, we'll deal with all the questions towards the end of the presentation. Let's start with the key messages. I think most of you have already touched on this. We have raised our guidance for the direct result per share from EUR 1.780 to EUR 1.75-1.85. The key drivers of raising result is not only acquisitions that we've done in Luxembourg, but also smaller acquisition in Tilburg. But in addition to that, also the operational results, in particular, the 6% growth in like-for-like net rents has contributed significantly to the guidance for Wereldhave. Regarding disposal, also important to mention, I think you've all noticed that in the first quarter, we have sold shopping center Winkelhof center in Leiderdorp for EUR 56 million. In the second quarter, we have sold shopping center Roselaar in Roosendaal, EUR 40 million in line with the latest book value. And in addition, we have sold 2 smaller Belgium projects for EUR 12 million, also in line with the latest book values. I also need to add that disposals, Roosendaal and the Belgium ones have closed post balance sheet, so they're not still yet in our loan to view, but then get back to that with our pro forma loan to value. The operational influence I already touched on 6% growth in like-for-like net rents, I think is a very nice figure driven by, amongst others, taxation, but also rent income and leasing back to that. The debt profile, I think we made a step in this quarter in addition EUR 125 million financing, amongst some new European placement with a Dutch insurer first one for real-time in the history. So, I think a very good sign of confidence but also we keep active in the U.S. market. The Fitch credit rating BBB stable outlook has been reaffirmed, good sign as well. And our first joint venture on the 25th of June, we announced that together with Sofidy on Stadshart, we acquired shopping center in Zoetermeer. We're still working hard on a couple of transitions. This year, we'll deliver Kronenburg in the Netherlands and Nivelles in Belgium, and last but certainly least, we continue screen for entering acquisition opportunities in Belgium and Luxembourg, just to call our strategy change in the tax regime in the Netherlands. We've lost the FBA regime, the Dutch REIT in the Netherlands as of January 25. We keep rotating capital out of the Netherlands to Belgium and Luxembourg in order to achieve very tax efficient, but also because we vary interest opportunities in Belgium and Luxembourg. This takes us to the next slide, we got the results itself. If you look at the direct result per share, you can see it's increased EUR 0.84 to EUR 0.81, about 8%. The operational drivers I've already mentioned, also the cost control what you see in the first half of this year is that our base has roughly remained stable whilst the top line of P&L has grown. And actually below the EBITDA line in the P&L, you see that the interest lines performed better than what we expect driven by the refinancings that Dennis get back to. If you look at the net loan-to-value ratio (LTV), you can see increase towards 44.9%. That's above our cut. However, if you include signed disposals that I already mentioned, you arrive 43.7%. And in the second half of the year, we expect to sell Full Service Center at Sterrenburg in Dordrecht and that brings the loan-to-value towards 42%. Like rental growth, I've already touched upon, roughly 6%. What's this thing what you can see to call out are the retail buyers. Of course, indexation with 0.5% still quite high. Other rental income is interesting at 1.4%. What we see, and we also said in the industry that other rental income or more income, whatever we call it, is coming increasingly important because it's a fast-growing industry. It consists of the respective retail leasing, shopping malls but also consists of the revenue we generate, for example, the solar panels, but also through EV chargers, our parking lots. Basically, parking lots are [Indiscernible] gas station because we have mostly parking. We own a lot of parking surrounding our centers, in the past was typically a loss-making activity, but it is turning into a profit-making activity. You can see that back in the P&L, and I think that's to come in the coming quarters. Occupancy slightly increased and also the savings here about net rents, so all operational expenses and the non-recoverable service charge reductions included in here. If we then go to building country by country, starting with Belgium, we had full MGR uplift 1.6% new rent versus old rent. This has been positive in Belgium for the past quarters, and we also expect it in the future to be positive. If you look at this 1.6%, it's a bit lower if you compare to the last couple of quarters, that's driven by the fact we did a lot of leasing in Genk our most difficult location, in the Belgium portfolio, but we have a lot of expiries this year a lot of to fill [lessees]. That has been successful. We signed 3 major leases with Vero Moda, Sketchers, and an extension of New Yorker, which means occupancy of shopping in Genk is 95%, which I think is a very good figure, but see that the rents in those cases are more or less in line with old rents, which is bad. The average for Belgium is a bit low still 97.3% of ERV, and I think occupancy rate of 98% speaks for itself. In the Netherlands, we have talked about an improving market. And as you can see this in the first quarter, with 0% MGR up, which now increased to 0.5%, which is quite good, I think, but also nicely 11% above ERV. We see increasing number of retailers in the Netherlands, also in the fashion segment, the discretion segment where we are very active, expanding their store networks, and I think we are benefiting that. Luxembourg is new, of course, in the portfolio. We have signed leases in line with the old rents nicely above EV. We have a couple of leases in the pipeline in Luxembourg, second half of the year, which are almost signed nicely above rental levels. And then you will see the signs of the reversionary potential in leasing that we talked about in February. When we acquisitions Luxembourg, first and foremost in Pommerloch, the larger center of the 2, I think gave some color on that back then we'll see the first a in the second half of the year. France remains more difficult. That's a combination of a more difficult occupier market, but the fact that particularly our enter in Bordeaux, MÃ©riadeck from a leasing perspective is still a little bit rented, and you can see back here in the figures, only 7 leases. The occupancy rate 96 [Technical Difficulty] I think, is quite good, but real performance is a bit mixed. Then talking about the Full Service Centers, what you see here is our table that we always present. We separation with the Full Service Centers in transformation in the middle column and traditional shopping centers. And you can see on the right-hand side that, of course, the Sterrenburg centers have been. But what you can also see is that the mixed-use percent has increased. If we look at bottom of this chart, for example, real sales, which is the best looking plus 2.5% in the Full Service Center should bode well for future rent growth in that bit of our podium. Footfall, I would say, more or less in line with the market, the Netherlands a little bit not so big of a plus as we saw in '24, '23 and to the past COVID, the post-COVID year, but I think still a nice increase versus last year. Tenant sales, more importantly, a little muted in Belgium plus 1%. In Belgium, it's a little more mixed at the moment than in the Netherlands. We had some good plus is not a big figure, but a bit little growth. Netherlands plus 3%, I think is a good year, particularly in the fashion industry. We also see the plus 3% after a couple of more difficult years, I should say, and you will see that back later on in the occupancy cost ratio, which has climbed in the Netherlands. I think it's a good sign. We were a little bit on the high end. Food and beverage, which was struggling with the energy prices and inflation, shortage of labor is now showing results here as well. You see plus 8% in the Netherlands. Daily Life Retailers, a way to gauge basically the defensiveness of our portfolio, convenience, retail, concretionary, declined a little from 68% to 67% is also a result of transactions, the sale of the shopping center in the Netherlands and the acquisition in Luxembourg. But of course, with the terminations completed in second half of this year, the percentage of the Daily Life will increase. Then some more information about the leasing in our core portfolio. I already mentioned in Belgium the leases we have signed with the retailers in Shopping 1 in Genk so that has been important to the company. Also in Luxembourg, we extended Delhaize for example. And in [ Technical Difficulty ], we have renewed lease with parapharmacy Medi-Market, the Medical employees. And in the Netherlands, I want to mention a new lease we signed with New Yorker in Middenwaard, in Heerhugowaard, an important lease for the company because if you look at the fashion segment in Middenwaard, we had some and downs, but the signing of a very large New Yorker store will have a very positive impact on the center. They were not yet attending that center. So, I'm very happy they will be entering the podium work of our Dutch leasing team. If we look at the occupancy, Belgium 14%, more or less stable, but then we see a decline to 12%; it used to be around 13%. These are rounded figures; particularly in the fashion segment, we see a decline, and that is driven by strong sales growth of some of the leading fashion brands we have in the Dutch portfolio. It's interesting to see that because we don't see this in all of our markets. And if I look across our markets in other European markets, I think it's also more of a signal the leading fashion leaders in our portfolio in the Netherlands are performing quite well. Also see a decrease in homeware and household that is because Blokker, the Dutch homeware and household went bankrupt last year. They were on a very high occupancy costs ratio, of course, now proved from the figures. And with that, I hand over to Dennis de Vreede.
A. W. de Vreede: Thank you, Matthijs, and also warm welcome from my side. Start with the direct results of Wereldhave, I can see a plus 13% driven primarily by the acquisitions, but also the rent growth and continued cost savings are contributing to that. If I would exclude the acquisitions and disposals, we still see an 8% plus in terms of direct increase. I think if you look at the underlying drive in Belgium and Netherlands, for example, they’re both experiencing a slightly higher occupancy as well as a slightly higher index, which is driving the right growth in the countries. And lastly on the negative side, you can clearly see the right-hand side the impact for the first half year, which is primarily driven by the net [Break]. If I then give you a quick outlook to the DRPS, the direct result per share. We clearly see, you can see as Matthijs mentioned it that we have been able to increase the guidance for the full year to EUR 1.75-1.85. I think on the other hand, we try to keep our dividend per share guidance at [EUR 1.25] for the moment, which slightly below our dividend policy. But as long as we don’t have reached our LTV target, which is [73%] things we’ll stay on the more conservative side. In terms of transactions, we had a very big first half of Matthijs has already a number of transactions. I think the biggest one in the first half year of Luxembourg and also of the disposal. But if you are looking further at the disposal of the Roselaar in line with book value, we’re happy to announce this noncore asset, the disposal of it. We signed it the last Friday at the book value of around 40%. Why I think I’m not going to read this all out for you, but why is primarily because we don’t the service center. We see increasing vacancy and we also believe the location is a very challenging location in terms of. So those were the big drivers obviously why we have been disposing this last noncore asset and of that didn’t our internal rate of return hurdle. And with this puzzle, we have now fully completed the of our Benelux portfolio in terms of – you can see below the over which assets sold over the last 5 years. And I think with a different, I think it for itself. On the other hand, some good news. Obviously, we are entering growth phase of our LifeCentral strategy. We did a small add-on acquisition in May, Tilburg, which was adjacent to our assets already there, a full-share deal with a conclusion in kind. So helped a little to lower LTV. The bigger one obviously like he mentioned was also, I think on 26th is our first Dutch JV, a part of our growth strategy with Stadshart Zoetermeer with investor Sofidy, of the Tikehau group, from France; I think this 15% stake we have in this JV will be generating a 15% cash on return. So, on an annualized basis, this will contribute around EUR 0.4 direct result per share. For the first half, we didn’t experience any impact of this. But for the second half, we do expect obviously the increase. What will we be doing with Zoetermeer very obvious on this page. We will be adding a number of food and beverage center elements to this, primarily retail meat concept, the concept so the health and fit concept, we believe with very good attribute of this asset increase ultimately the value. I think a nice one to share with you, we did the first leasing deal very recently last week where we are placing the older footwear unit with a new international shoe retailer. So I think we’re happy with that result. If I then move on to the LifeCentral strategy, I’ll hand over back to Matthijs.
Matthijs Storm: Thank you, Dennis. Progress in the strategy. We'll get back to Nivelles and Kronenburg later. But if you look at the right, the [Indiscernible] at about 16%. Gradually will keep increasing. I think the will be somewhere about 20%, you know. About Nivelles, one of our best centers in Belgium, we occupied all waiting list and always positive leasing spreads. So, the leasing of the small on the F&Bs of this center was quite straightforward. We'll add some new rental home to the center. But in addition to the F&B, there will also be a new entrant, a small revitalization [Indiscernible] the ongoing in line budget and the IRR. If we talk about Kronenburg, Netherlands, this is one of our biggest centers in the [Wereldhave]. We do this in -- here we talk about this one, which will complete this year. One more supermarket will open in the fourth quarter, which is very important. The driver of footfall to the center. Also, this transformation is going perfectly in line with the cost budget. So, in terms of letting, we have nearly full pre-letting center. And last but not least, also from an IRR perspective. Of course, the completions of these centers always trigger sort of revaluation. We have performed well. We had some questions about that this morning. In the first of the half year, we did not have any Full Service Center in the start of the year, of course, we leased 2. Talking about the crux of the LifeCentral program, not much new on this slide. We invested most of, as you know, which has already mentioned. We're now focusing on Phase 2 of the strategy, which is expanding the portfolio. But with the expansion of the portfolio, CapEx will come off. Every center we purchased like in Luxembourg we added to the line because at the end of the day, the ambition of company is to be the market leader in service centers in the [Benelux region] that we buy will also be informed. About the IRR framework. Here, you can see clearly that most of the assets tick the box. The unlevered IRR above 8%. The benchmark is 7.4% the weighted average for Continental Europe according to Green Street. Our assets perform better. We do not have any left in the sell because the those sold assets on hold. So those 2 assets we are still working on the cost budget on the leasing ass, et cetera, in order to achieve an 8% plus IRR. Yield shift, we've seen that the portfolio over the last couple of quarters, not so much in the first half of the year. Last year, you saw a significant revaluation result in our portfolio, amongst others driven by completion of full centers, not with a slight revaluation that will get back to it in a few months. What you see here is from a yield perspective versus the market, the red bars that you see for the Netherlands and Belgium, our output. Residential products, we always have a slide on it. It's a little bit of icing cake. It's not the game changer for which takes a lot of time. If you put all sides from the past takes years next to it where there's some delay in the profits. They will come this year, we have about EUR 3 million, and we still have EUR 31 million in the pipeline for the coming years. We're working on that in several occasions, as you can see on the slide. With that, I'd like to hand back over to Dennis de Vreede.
A. W. de Vreede: Yes. Thank you, Matthijs. And I would like to take you through a few slides around the financing and valuation. I think to start with valuations, we have seen a very slight increase, almost EUR 0.01 valuation increase of our core portfolio, the Benelux real portfolio. Belgium remained stable, as you can see on this slide. Luxembourg, not unexpected. We've seen a very nice increase. I think also refers to the press releases we did earlier this year. We stated that we have a very nice acquisition. So I think the seller at that time stated they sold at a significant loss. I think that's now. Netherlands, it is slightly below 0. And I think that we can very much to lease, where we have been pushing the lease out for 10 years, but accept a lower rental reaching an EUR 8 million loss on that single asset. France was quite stable, as you can see, and the offices at Belgium the same. Moving on to the net LTV target we talked about before, seen an increase to 44.9% net LTV Pro forma after the disposals, Matthijs mentioned, after 30th of June, we will be at 40.7%. The final Dutch disposal later of the Sterrenburg take us down to 42% range again. And hopefully, we keep putting this net LTV target to below the 40%. I think we can still use equity-backed acquisitions like we did earlier this year and certainly also the 2 remaining French assets will take us above the 40%. On the debt profile, I think a snapshot here, you can clearly see EUR 130 million increase of our interest-bearing debt, which was primarily due to the Luxembourg acquisition, but also dividend payments we did in the month of May. Stable average cost of debt. Also, as you can see here on the bottom right, we are well with all our bank covenants the new 50 years -- sorry, EUR 50 million 10-year European we did with Aegon Asset Management back month ago has stabilized debt maturity 3.3 years. The 2 donuts I always show around the debt. So clearly, you can see that the USP portion shrink a little bit compared to the, compared to the end of 2024 to EUPP being added. And as you can also see for 2025 and 2026, we do not expect a lot of financings. Clearly, 2027 for us will be an important year where we have to refinance our EUR 300 million corporate RCF. We started already working on this. I would expect that after summer break, we'll start working really on it. And by the first half of '26, I would expect that to refinance. Then on ESG, not important, as you know, I think a few nice examples that we are working on really the fact that we keep adding solar panels to our assets. As you can see here, we have been installing almost 400 new solar panels in Capelle aan den IJssel. But also we are working like we did earlier this year Jumbo a number of individual tenants see can we place solar panels specifically for where we put a rental in place. EV charging point Matthijs already mentioned, we are starting to make batteries of our charging facilities by installing 350 new charging points across the portfolio by the end of next year should be delivering a nice return. And one of our target also is to keep increasing the green spaces as you can see here in the first half of this year, we are increasing the green portion of our total rent roll with 2% 76%. I hand over to Matthijs for the slide.
Matthijs Storm: The management agenda. We call it the new management agenda, but we presented it back in February, but still relatively new. You can see, I think on several topics, we made some first steps created a little bit in the first half of the year of the revaluation are pretty flattish. Capital relocation, I think Dennis has already elaborated that, but some good steps and we're working on joint ventures, working on additional acquisitions in Belgium and [Sterrenburg] as mentioned. We're finalizing transformation ESG touched upon out France, there's questions about it. As we understand, I can be very sure about it at the moment, investment market in France still very quiet. We do not have active discussions going on, to be honest. The expectation that will be more for 2026 and I think we're doing fine. We signed new leases from an disposal still very quiet. Last phase balance sheet derisking, Dennis already shared the figures.
Matthijs Storm: So let's go to the questions that have received and I think that question from Amal Aboulkhouatem. She is asking, given the strong start of the year, can you provide a guidance your 2025 dividend?
A. W. de Vreede: Good question. I think I touched upon it when I presented light with the LTV, the dividend. I think we stick for the moment to EUR 1.3 per share as a dividend payment, slightly below, I would say, the midpoint of our new guidance, which is 1.87. So if you make that equation, you'll to around 72%, our guidance has always been 85%. But again, one of our priorities is to further down our LTV below the 4% mark. So I think that time, we try to be on the conservative side.
Matthijs Storm: Okay. I think second question also for you regarding the valuation, Steven Boumans. Could please explain big chunks of valuations and devaluation starting with the plus EUR 20 million in Luxembourg, I think you've explained it already, but that's being offset a minus 8 EUR million Tilburg. Please explain the neg that from the recent acquisition?
A. W. de Vreede: No, good question Steven. So indeed, 2 numbers jump out. I also pointed that already when we were on this slide 31. I think in Luxembourg very much out of the Knauf Schmiede asset. We purchased that around EUR 65 million, we have seen a very nice increase of the valuation of around [EUR 17-8] million on that asset. Also Pommerloch did good. It was about EUR 2 million, EUR 2.5 million increase in the value there. Again, I just referred to what we have been saying already in the press release this year for this acquisition. I think we just did a very good deal at the time. And this is reflecting partially, of course, the rental guarantees being obtained at the time from this. So we expect there's even a little bit more upside in those 2 assets when we start on it. The Netherlands there, we did a package deal with a retailer. We were doubting the time also should we do this against lower all those rents were renewed for 10 years. So we prefer to take a valuation hit around EUR 8 million in return for 10-year leases. So it was just a, I would say, to market ourselves, let's take the valuation but 10-year leases. So that's nothing to do with the acquisition with those adjacent [technical difficulty] that's a very different stock. Those are adding really to our incremental direct return.
Matthijs Storm: I'll take the second part of the question is there anything from the revaluation -- that's not the valuation. So in the second half of the year I think Roselaar saw a very small increase in the half of the year. Maybe also good to know Roselaar an asset that also talked this morning to a journalist, that was to roughly EUR 4 billion at the end of 2019. What you've seen with the other assets is that a very nice increase bottom, you can see we have sold at decent valuation of year-end 2019. Stayed on top of my head, flattish in terms of book value slight plus. Any comments on the values of the French since in Wereldhave, will there be gradual valuations likely to continue? What we saw in this half of the year, is small plus [indiscernible], minus from a year ago. I think going forward, as usual in France with acquiesce in an interim market, I don't expect movements. We have been, of course, in the past about the fact that when we dispose, we do expect to generate a book loss on these assets. Then another question from Steven on the disposal, what values of yield? The value I can disclose will be the net yield on the disposal around I think a little bit below that we have in the making. And then the final from Steven. What would be normalized and sustainable rental level versus the current rents? Of course, we did the underwriting, I cannot disclose, I think people will understand given the high initial yield on the acquisition that we do expect the sustained rental level to be a little bit below the current rental level. And there will be some caps needed in the center as we have with all our in the portfolio basically. We have a couple of questions from Francesca Ferragina. First question, can you elaborate about the improvement, what are the assumptions changed that this increase, especially considering the disposals? Maybe Dennis, you want to touch upon that?
A. W. de Vreede: Good question... And thank you for joining our webcast. I think the underlying assumptions are really the acquisition we did, Zoetermeer contributed to at least 2 in the second half of the year in terms of growth, but also Luxembourg is now starting to accelerate and will have a full half year impact rather than the first half where we had only, let's say, a 3 or 4 month impact. But underlying that, you could clearly see that the like-for-like rental growth is at 6% now see that we keep costs under control. So, we don't increase cost. We, we have decreased our cost base a little bit. So those are all contributing factors for the fact that we are able to raise guidance. The last time we raised guidance or gave guidance was that we said we will be in the higher end of EUR 170 million to EUR 180 million. Now we have various reasons to say we will be ending somewhere in the, I would say, higher end of the EUR 175 million to 180.
Matthijs Storm: In the meantime, we continue with Francesca, I hear from the operator, we have some technical problems with the live stream, the video audio. Apologies for that. There will be a recording of the entire webcast which will be available as soon as the call is over at wereldhave.com. So, the part where we have some problems, you can all listen back with the Q&A. Apologies for that. She is also asking if the like-for-like hypothesis full year 6% sustainable? I think the answer, is roughly yes, or the inflation is slightly going down in the Netherlands and Belgium that has some impact. But I think if you have the other drivers like cost savings, other rental income leasing that we mentioned on one of the slides in the presentation will also occur in the second half of the year. Second question from Francesca. You provide more information about EUR 8 million write-down in Wereldhave, I think Dennis gave the answer that. Third question mentioned expanding Belgium and Luxembourg portfolios in the -- which asset size you are affordable and any interesting new assets coming to the market. The question from I think Francesca - the specific criteria for acquisitions have been indicated several times in previous presentations. I think roughly our sweet spot in the which are between 30-50,000 square meters. We are not in the huge gestation centers as we buy, I think they are the specialist in category. We are more specialist in the [Indiscernible] centers. So that will also case for the expansion of the portfolio. And the interesting assets coming to the market - Yes, we see additional assets coming also to the Belgium market in the second half of the year, I cannot mention names because the -- and also in Luxembourg, there are assets coming to the market. So important to mention, we are look at net initial yield of 8% and above. That's not a hard criterion, of course, because our hard criterion is the 8% levered IRR. But it's nice if you have with 8% net initial yield, then you don't need any rental in order to tick the box. Next question from Francesca about you first JV with Sofidy. Do you think this relation into other ventures for the coming future -- are you discussing with other partners? Would you be open to finalize acquisitions with another partner? Francesca. We're very happy about the first month collaboration with Sofidy - very professional -- we're very much open to do more deals with them. But I think same time we our criteria their criteria. It could also be the case that another venture will be with another partner. And I think a for them. But so far, so good, I would say. Does the disposal minus the values of this asset and negotiations are in line with latest appraisal? Francesca, I think we mentioned that we're not disclosed the value of the asset, but I can confirm, Dennis, that the disposal is in line with latest book value. Yes. Then we have a question from [Rahul]. I hope you announce your name right. Please, could you provide an update on the French assets? Are they still earmarked for disposal? If so, do you have an estimated timeline? Also could you please give a sense of size of the [Indiscernible] universe in Belgium, Luxembourg. So maybe, Dennis, you already gave some color on the French ad.
A. W. de Vreede: Yes. On the French ad Rahul, I can be short. I think one in Paris Cote Seine, that is an ad where we are still improving the ad itself. We have seen the hypermarket evolve from a before to a Carrefour our has been selling the assets again to [Indiscernible]. So we want to make sure we get the, let's say, into that asset being either being an [Enter Met] or different formula, but to have stability there. I think the rest of the asset has been improved very well, almost fully occupied. So I think this year in 2026 when the hypermarket situation has been resolved, I think that's the perfect time for us to start marketing the asset. We have not been marketed asset given the hypermarket situation. On the asset in Bordeaux, I think that's the asset which is more challenging. It is very close to the inner city Bordeaux -- so there, we have not been able to find the right buyer. again, referring to what Matthijs is saying, it is a very quiet investment market in France in general, in Bordeaux. I think that is something where we keep sort of screening the market. We, of course, an international broker involved in that, but we have now, let's say, very concrete discussions at the moment. So that will be '26 or maybe in '27.
Matthijs Storm: Dennis... Rahul was also asking in terms of the investable universe shopping centers in Belgium and Luxembourg. Yes, the entire investment universe, we can get to that. Joost van der Zee, Chief Strategy Officer, has all those figures. And so we're happy to share with you and of course, also with other investors. I think you look at the volume -- total volume up sale at the moment in Belgium and Luxembourg, we talk it's about EUR 500 million, but maybe even a bit more so we pick and choose our assets, I think. And I think certainly for the coming quarters and also 2026, there's enough product on the market in our core markets to expand our portfolio more towards the EUR 3 billion now 2.5 billion. That's the focus of the company, as we have mentioned. Then we have a question, Alex. Thanks for the presentation team to say something on your comment about growing in Belgium and Luxembourg, especially are you look to acquire in Luxembourg? We're looking at both countries at the moment, Alex, but the concrete position we are working at the moment in Belgium. It would be most logical to perform a acquisition in the second half of this. I think the Luxembourg assets that are for sale visited some of them. We get the figures. I think that will be more something for 2026. But I think, again, the focus is on Belgium. Second question, what is the underlying mix for the French? Retail sales, footfall, [indiscernible] sales, evolution - I think that those are all metrics that we can share later point, Alex because we don't the figures here at hand. What we see in terms of in the French portfolio was also in the first half of the year. And what we see in the tenants in the French assets are more or less in line with the footfall. So it's I think typical for the market at the moment in France, but also particularly the case of the specific asset. It's not I think we're stabilizing rents; thatâ€™s what think we are. We have a question from Anthony â€“ Great results. 5 year? We haven't looked at it yet. And then for a special div, Dennis, anything in the making?
A. W. de Vreede: Yes. Question, I would say, but as I said before, we are working to push our net LTV target down to below the 40%. I think at this point in time, we do not see the ex-cash needed for a special dividend. But we are, we have a dividend policy of 70% to 85%. And I think we have a nice dividend at the moment, albeit of course, that the share price is increasing. So answer short, no, we're not considering a special dividend at the moment.
Matthijs Storm: Another question for you... Dennis from Anthony. Loan to value, did the loan-to-value go up because of acquisition and dividend basis?
A. W. de Vreede: Yes, the answer is yes. We have seen the LTV going up because the big relative Luxembourg acquisition was EUR 160 million acquisition, and we partially financed that equity, the EUR 30 million equity issue at the time. Obviously, that helped our LTV upwards. We have paying EUR 55-56 million dividends in the month of May, which is driving the LTV up. Other than that, we're focusing on disposals to push down the LTV again. Hopefully, again 42%, which is similar to 41.8% net LTV of last year.
Matthijs Storm: And I like your last question, Anthony, what are the catalysts for the second half of the year because the market build more. I think there's, Anthony, we have already mentioned, we want to close a significant acquisition in Belgium at a natural yield of disposal of at a net initial yield of around a little bit debt in itself and then knowing in the Netherlands, we pay in Belgium that has a very positive impact it would on our result on the P&L. Addition to that to those 2 functions, I think also when we talk about rental income, we have some nice surprise for the second half of the leave that for the second half of the year, but that is growing nicely, I would say. So if we talk about the list, I think that is what you should focus on. I see there are no further questions, maybe good to repeat that the recording of this webcast will be available. Again apologies if any technical video audio problems you will be able later on to see the entire webcast on the website.
Matthijs Storm: With that, I'd like to thank you for your being present in the. Thank you for all your questions. And I hope you have a fantastic summer holiday. Then I will be going on together, Dennis as usual, and see you back after summer. Thank you.